Robert Barrie: Hello, and welcome to the Freelancer Limited Full Year of 2025 Financial Results. Apologies for the half an hour delay in getting going. We had some technical difficulties here in the conference room. Not sure what happened. We had a Board meeting here last night and overnight, the machine fried itself. So we've managed to sort that out, and I do apologize for the waiting, and we'll get going now. With me in the room today, I have Chief Financial Officer, Neil Katz; Vice President of Product, Andrew Bateman; August Piao from Escrow.com; and Mas from Loadshift. Today, this is the full year of 2025 financial results as we operate in the calendar year, and I'll get going. Financial highlights. The group gross marketplace volume, which is cash to the business, was $881.5 million, which is down 7.1% in FY '24. The Freelancer GMV was up 2.3% at $133.4 million. Escrow was $748.1 million, down 8.6%. Group revenue was up 4.1% versus the full year 2024 at $55.3 million. Freelancer revenue was up slightly at $40.9 million, and Escrow.com set an all-time record of $12.3 million, up 18.8%. We recorded an all-time record net profit after tax of $2.2 million, which is up from a small loss of -- in the prior year. Escrow just completed its fifth year of consecutive profitability and is paying tax and going to its sixth year of profitability. And with Loadshift, we also achieved a maiden full year profit. We also achieved an all-time record operating profit, excluding unrealized FX of $2 million, which is up 162%. Operating cash flow was a positive $7.7 million, up 32% on PCP. Cash flow was $0.5 million versus $0.8 million on PCP, but also included a net of $1.5 million in buyback of Loadshift shares, which increased our shareholding to 73.4%. Cash and cash equivalents was $22.9 million, down 11.9% on the half year, but flat on the prior year and so forth. So we achieved a significant turnaround in profitability. I've said previously in the last quarterly calls that my goal was to do $0.5 million a month of operating profit consistently. We're about 2/3 of the way there. We have a little way to go, but we're working hard on both the revenue side of the business and also on the cost side of the business. We got -- had a pretty decent cash flow of the business at $7.7 million, I said before, up 33%. And we decided to increase our stake in Loadshift. I think this year for Loadshift is going to be a pretty transformational year as I'll describe a bit later on. So our ownership has been increased to 73.4%. Freelancer is working hard to build the Amazon services. There are many companies out there that are global marketplaces of products that are very large in terms of scale and scope, the likes of the Amazons, the Alibabas and to an extent, Shopify, which is a marketplace of marketplace of products. We're trying to do that for services, and we are in the fields of labor payments and freight. We have over 90 million registered users across all our portfolio of businesses. Freelancer is the largest cloud workforce in the world. Escrow is the world's largest online escrow company, which facilitates the secure large value payments. And Loadshift is Australia's largest heavy haulage freight marketplace. And so we have services that meet the needs of consumers right up to very, very large organizations. For the core marketplace in FY '25, we onboarded 7.32 million new users and 666,000 new projects were added to the marketplace. The average project size continued to climb and averaged at USD 413, up 19.4%. And the sustained expansion in average project size reflects ongoing shift towards higher value, more complex work across the platform and also our targeting of our customer acquisition programs. Liquidity is very strong. And in fact, in many areas, we're doing some work, which we'll explain a bit later to 10% of the liquidity because it is very, very high and nowhere else in the world is as liquid as we are for getting work done. On average, you get 54 people bidding on your project, which is up 8% on PCP and contests have exploded to a fairly ridiculous 761 entries per contest, which is up 50%. So you can see here that really since 2020, we've had a trend up in average project size and that's across both the Freelancer and the Loadshift business. In terms of acquisition, in the fourth quarter, we saw a slight decline in year-on-year performance driven by a decrease in the SEO channel. We've actually rectified that, and it's bounced back down in Q1. Volume from SEM is at record levels as of writing the report and a relatively stable return on investment. We're starting to see a lift in AI-related jobs in the marketplace, and it's still at an early stage, but it is lifting. It's starting to meaningfully contribute to GMV. It's about 5% of total marketplace volume in the marketplace. As I said before, I think we're in probably the third phase of transition of businesses, thanks to the Internet or transformation, thanks to the Internet. In 1994 to 1995, you had the Internet go mainstream in Western economies, and that led to businesses going online for that. They got web development done as they wanted their presences built out on the Internet. We then had mobile phones get deployed and you had app development. And now with AI, you have AI development. And there's a whole range of features and functionality, not the least of which being AI agents, but also using AI to personalize workflows and accelerate productivity. And we do think, as I've foreshadowed in previous quarterly results that this is going to be a very, very big category in the time to come. You get over to the same place to get your AI developed that you get your website developed and your app developed; which is small individual freelancers, small agencies, large agencies and very, very large service providing organizations; and we aggregate all of them on Freelancer. The shift with AI is creating a powerful 2-sided effect in the marketplace. We're getting an increase in new AI-related jobs from clients, but also freelancers have lifted their skills quite dramatically through using AI tooling. We think the killer combination is humans with AI. And certainly, the freelancers are probably one of the largest -- on our site are probably one of the largest and most active users of AI out there with that 90 million people rapidly adopting tooling and lifting in speed, quality and output. And so we think this is a great structural enhancement to the value of our marketplace, the competitiveness of the freelancers and the scalability of our model. We're seeing work coming quicker. We're seeing higher quality work, and we're seeing that across the whole breadth of skills that we have available in the marketplace. In early January, we successfully launched, as we talked about in previous quarters, not just audio and video calling, but client-initiated audio and video calling now before you award the job to a freelancer, so you can post your job, get your bids in and talk to some of the top freelancers over audio and video prior to awarding. We've managed to do that successfully because we have a real-time data science pipeline, which does real-time analysis on those conversations to ensure that we don't have off siding, et cetera. And so as a result, this functionality is great, not just for clients to interact with the freelancers before they make the selection, but also for freelancers to win business. And so that's also led to an increase in membership revenue there on the Freelancer side. We've also managed to automate our project review using both AI and our data science pipeline called Iris. We used to have all the listings on both Freelancer and Loadshift go through human review before they went live in the marketplace. We've now managed to pretty much almost fully automate that, which has led to a lift in conversion as projects go live quicker and don't go through delays. Our focus in the first quarter will be continuous introducing AI into the primary job posting the funnel. We're focusing not on the very top of funnel at this point in time, we're focusing more on the bidding process and to match talent more effectively and counter bid spam. Because we're in the world of AI now, any form of user-generated content out there can be enhanced through AI submissions. And so we're really now focusing on ensuring that the bids that are coming in are true representations of freelancer skills and experience and that very, very quickly, we can make recommendations. We can annotate the bids coming in to provide what freelancers or platform thinks about the freelancers and to ensure that the bids are accurate on the freelancer side. We're also working on improving our payments infrastructure. In the first quarter as well, we've also now launched a Prototyper. This is our AI-powered collaborative whiteboard enables clients and freelancers to basically prototype ideas in real time and also what we call Make It Real and generate code to interpret those drawings and turn them into software with one click. So you start with a blank canvas, you sketch the concepts using whiteboard tools, traditional things like sticky notes, annotations, images and more. And then with click to Make It Real button, we transform those white frames into clickable interactive prototypes with no coding required. And so we can replace lengthy text briefs or conversations with actual visual collaboration, and it provides freelancers clarity early on and clients clarity in terms of where their build is going. So I think that's pretty cool, and there are a lot of different directions that this can head in the future. And of course, all of this stuff is powered by the mainstream foundational models. So we plug into OpenAI and Core, et cetera, powering this back end as well. So that we always keep up to date with all the latest advances in model technology. We remain to be the #1 [ site ] building platform in the world in terms of freelancing and cloud work. We're rated now 4.5 excellent on Trustpilot from 18,000 reviews; 4.7 on SiteJabber, 20,000 reviews. Yet again, we maintain our #1 position, and we've won awards that have celebrated that from those review sites. Our Enterprise division continues to work to expand its client base and operational infrastructure. We launched Concierge services for premium customers and established a Bangalore office to drive sales and operations in that region. It's very clear to us that India is the body shop to the world and every BPO there and every large major tech company has operations there, and that's the place that they source talent. And all those BPOs don't have breadth and the depth of talent that we have across geographies and niche skill sets. So our engagements spanned technology, business services, financial services and education verticals. And we're doing some pretty exciting things where we're marshaling very large fleets of people to work in everything from AI to field services to sales to so forth. And over the course of this year, we'll probably be making a couple of announcements about that. And so we are really focusing in FY '26 on deep pools of repeatable work and workflows. And I think we're pretty excited to hand-in-hand with our office be building out some features in the enterprise product over the course of this year to enable it to happen at scale. Now second half of last year, the Bangalore office started as a sales office and operational office to service enterprise demand and global fleet across India. We've got good momentum and a good pipeline. We're pretty excited about the pipeline of opportunities we've got, and that's headed up by Gerard Christopher, who has worked for us for a couple of years on engagements such as the GitHub Packard engagement. Generative AI work continued throughout the year with projects across a variety of different languages, transcriptions, image collection, going to locations, collecting data for surveys, collecting data for -- going into foundational model training, et cetera. We've also got a new company, where we're doing field service repairs of laptops. There's a picture there of a new brand of laptop that we're repairing in Kolkata. And the project for FY '26 is to really double down in the office, scale up the delivery volumes and scale into the North American markets. On the innovation front, over the course of FY '25, we've announced previously that we were a joint winner of NASA's upscale 10-year USD 475 million NOIS3 contract. That contract is a big upscaling of NOIS2, which we were also a winner of, which went from $75 million to $125 million, now it's $475 million. There has been, over the course of the second half of last year, some delays in task orders being awarded and funded due to various government shutdowns and restarts and shutdowns task orders have started flowing recently again, and we're bidding on them, et cetera. And we're doing some pretty exciting things, everything from genome edited delivery for the NIH. We did some work for the Orion spacecraft in the compiler technology for software testing, lunar south pole navigation concept, zero gravity indicators, et cetera, and so on. We currently have a challenge live for detecting underwater explosive ordinance for the United Nations. We've also got another challenge being launched shortly to model the particle distribution of explosive devices using AI and ML techniques. In addition, our government division is progressing. We've got now, I think, a solid program that can be appealed to both state and national governments around the world around helping people come up unemployment benefits and go to the workforce. We're pioneering that. We pioneered with a few countries and now with Bahrain with the Tamkeen accelerator. I think we've got a pretty robust program that we can scale up and reapply all around the world. In FY '26, the key focus will continue to be, one, to enhance marketplace engagement, continue to improve the user experience and matching capabilities to attract activate and retain high-quality freelancers and clients. I'm pretty excited about the work we're doing here. I mean, obviously, you can address questions at the end to any of the people in the room. But Andrew Bateman, who's here, VP of Product and myself, we're pretty excited last night talking through the range of capabilities that are literally over the next 2 weeks going live to allow you to very, very effectively find great freelancers, have recommendations from the platform in real time on those freelancers, do natural language search to find those freelancers and to curate the bidding lists, the directories and notify the freelancers and so forth. In addition, we have a whole bunch of trust and safety measures cracking down on bad actors. We're also accelerating AI-driven innovation, expanding our integration of advanced AI solutions across products and services, allowing efficiency, automation, and new opportunities for enterprise growth. Our vision here is basically that we provide access to all the tooling of all the major AI tools through the platform to the freelancers. So we act as a distribution channel. As I said before, we have a very large network of users of AI. The freelancers are very active in adopting latest tooling across a range of different areas, and we think we can be a place that can really distribute those products and services to those freelancers to lift their skills and lift their earnings. And we're also expanding our financial service offerings. We're really streamlining our payments infrastructure. We're doing that in a global way to ensure that we have excellent acceptance and excellent native payment methods no matter what geography we're interacting in. And hand-in-hand with that is we have -- we're building out quite a sophisticated capability in our ability to levy taxation. Governments around the world are pretty much broke and they are looking towards platforms to, at minimum, provide reporting of earnings, but also to start collecting taxes in various jurisdictions around the world. And we're quite advanced with that in many jurisdictions. And I do think that in the future, this is going to be a great regulatory shield for us. We've already had some of the biggest $1 trillion tech companies in the world come to us who while they may be able to solve this problem, don't want to solve this problem or find it very hard when they do product innovation to solve this problem. And so they've come to us to basically solve it for them. So I think as we build a more robust offering there, that could be very, very attractive to some very, very large companies. We're also focusing on driving operational excellence strengthen platform reliability, quality and performance through rigorous internal processes. Andrew Bateman leading to a complete overhaul in the way we develop product, the way we ship product, the way we think about product and the way we think about product quality. We're also enhancing customer satisfaction and market leadership. And I've said before, I want to get sustainably $500,000 a month of operating profit every month on an ongoing basis and trend that up over time. And we've made some significant progress you see with our record profit this year in the FY '25 period, and I expect to do even better this year, doubling down on that. In terms of awards, we are recognized for our 13th Webby Awards, which is really the Emmy or the Grammys of the Internet. So we're very pleased to receive our 13th Webby and our 26th Gold Stevie. And I think it's just a testament to the hard work the team is putting in. Escrow.com has a GPV of AUD 195.8 million in the fourth quarter, up 3.8% on PCP, slightly down in U.S. dollars. Full year 2025 GPV came in at $760.4 million, 8.2% down primarily due to the lapping of a large IPV4 transaction in 2024. I'm pleased to report the Q1 numbers as well. I don't want to present them too much, but they're up a bit from here in Q1. So we're seeing a good entry into 2026. Revenue for the full year was up 18.8% to $12.3 million. As I said before, it's our fifth year of profitability entering into our sixth year of profitability, and we've used up all our tax -- deferred tax assets. So we're paying tax now, which is a good first real problem to have. So I think we've got the business into a pretty robust state. As you can see, there's a long-term trend line, which has been continuing through the business, and we hope now to not just continue that trend line, but also to start really kicking in and accelerating that. And as I said before, punching out 5 years of profit and going to a 6-year of profit now, this is a very solid and strong business and also very unique and very strategic in the fact that there has a licensing for 55 jurisdictions for payments. We're also positioned for strong sustainable growth with various e-commerce partnerships. Our pipeline is actually the best it's ever been, both for high-value transactions and also for sales. We were just actually going through the high-value transaction over the last couple of weeks. We're pretty amazed by the quality of things that we're seeing in from our broker network, but also in additionally, we have quite a wide range of new verticals that we're going into. And I think we're going to have pretty significant merchant adoption in 2026, so much so that we're building a go-to-market team as we speak. We've got heads up and in our North American sales hub, which is in Vancouver. We're building out the account management team under Tony Yan, who's been just promoted to Director of Operations as well as building out our go-to-market and our activation team. So we're really trying to -- we're really trying to copy here what Afterpay did. They had a very aggressive team going after merchants and platforms on the sales front and then they had an activation team, which really took you to market once you became a partner and integrated the Afterpay checkout solution. So we really want to use that as inspiration for how we see building out our checkout product. We continue to see strong interest from digital asset marketplaces seeking trust, fraud protection and cross-border transactions. Partnerships include Dynadot and Connexly, market leaders in domain and IPV4 transactions. We're also continuing to invest in new verticals and providing customized experiences through the flow for those verticals. We've got some great B2B electronics marketplaces and broker networks being on board. Some of these guys do very, very big volumes. One of them is over $900 million of GMV per month that they do in entirety. Now we're not going to get anywhere near that number from them, but I think we could, if we execute well, get a substantial volume from these partners. And obviously, when you're selling things like B2B electronics, you've got all sorts of trust and safety issues. Are you getting what you think you're getting? Is it the equipment in good condition? Is it not stolen? Is it not damaged, et cetera and so forth? We have also got key broker marketplaces offering escrow payments through integrated and nonintegrated solutions, sites like BrokerBin, which is the world's largest B2B electronics database broker site, secondhand electronics, BrokerForum, TradeLoop, all wholesale markets. We're doing interesting things in other international trade markets. We've got a very large agricultural transaction that's currently being set up that they should go through shortly. We've got premium luxury goods marketplace in advanced stages of integration and all sorts of other marketplaces, including regulatory marketplaces that are coming on board. And we've got some work also kicking on in automotive. New partnerships for in 2025, increased our visibility and reputation, quite a number of U.S. sort of businesses. This is for WatchFacts, a luxury marketplace that we did some partnership work with that do fine jewelry, handbags, luxury watches, et cetera. Grit Brokerage and domains Immobilium with real estate agents. We're starting to tiptoe into real estate, which is obviously the holy grail. Acquired.com, we really doubled down our relationship there in the M&A of businesses and businesses from the digital side up to medium-sized businesses. And we also just brought on Pitch Capital, which is a capital raising platform, which has secured more than USD 370 million funding for start-ups and now those transactions will start to go through Escrow for fundraising for ventures. We also presented our top Master of Domains award. We published a quarterly report on domain pricing. We're actually, I think, next week, publishing our first IPV4 pricing index, which will be a quarterly pricing index and so forth. We're also releasing next week our quarterly domain report. We did see an uplift in domain volumes. We saw a tripling into AI domains over the course of FY '25. And then while second cousin to dotcom, we are seeing a very, very big lift in volumes. It was up 189%. Is that right, Austin? Is that right, August? Almost a tripling in the volume getting to about $27 million. So we are seeing a contender come in, and we're just seeing where that continues. The other thing we did, I should mention is we completed our first transaction for straight-through financing through our Funding.com subsidiary. We've done over $670 million of vendor financing through Escrow to date in the domain space, and we've actually just completed our first straight-through financing transaction with a third-party financier. We believe Domains offer a premium form of security well and above the assets of the business because you can flick off someone's website or payments or e-mail in 5 minutes and flick it back on again. So we think that as a security for lending, it's a premium asset. We have a custody service where we hold things like domains for lease to purchase options, and we've now got financiers financing, taking advantage of that custody service. We've also now 24/7 with our customer support. That was a very important thing we wanted to do for Shopify. We've got the go-to-market team is being built out for Shopify specifically. We're onboarding more and more merchants. It's still very early days. We're not visible because we haven't crossed the 50 merchant platform threshold yet for that. But over the course of this year, we will be moving that quite rapidly. We needed to make sure we got all our ducks in a row in terms of our operational and service capabilities before we could really pump a lot of volume through this business. So we've really been working on that, and we've been making some changes in terms of the management team to be able to support that. We're also in the process of migrating the front-end technology -- it's 189% I think it's close to 189% [indiscernible]. We're also in the process to migrate the front end of Escrow to the freelancer technology stack. That's the stack that runs Loadshift, it's the stack that obviously runs the Freelancer platform. That allows some very modern features. It's a single page architecture, so it's very quick and very lovely to use. You've got real-time chat and messaging capabilities, obviously, audio and video calling capabilities, which are not available currently on Escrow. We've got AI agent capabilities, we've got whole framework there. We've got AI agents doing support and doing sales and doing operational sort of work. That will become available on Escrow as a result of doing this and a range of other features. And additionally, it also allow Escrow transactions to be available on Freelancer and on Loadshift. So we start extracting more synergies between all of those businesses. And down the track, that will also allow us to do things like upsell freight off the back end of -- sales through Escrow of products, something that's been a long time coming, but with a unified front end it will allow us to do that more easily. The other thing we'll be able to do is have a unified payments infrastructure and a unified identity service. So what that will mean is if you KYC once with any one of our platforms, you're KYC'd everywhere. So you don't have to do [ first ] in Freelancer and Loadshift potentially separately. You can just do it once and it will be done everywhere. So that's some of the synergies we look to extract this year through this unification process. The other advantage is that allow us to be a lot more nimble. We'll be able to move engineering and product and design between the businesses a lot more easily and fluidly. And so we will see a real, I think, acceleration in the product development of all 3 platforms as a result of unification of all on the same technology stack. Loadshift, I think, is starting -- is going to have a breakout year in 2026. We're obviously Australia's largest heavy haulage freight marketplace. Midweek, we get somewhere between 300,000 to 400,000 [indiscernible] on the site, which is the Earth to the Moon. And it's basically the Freelancer stack or heavy haulage freight currently, and it's currently also in Australia only, but we are looking to broaden that out and take that global and that we're starting to do some things in the back end to enable that in the later -- of this year. We had record performance in FY '25, our strongest operational and financial results to date. Revenue and GMV increased year-on-year through improved ops team, marketplace efficiency, conversion and other innovation. Revenue was up 12.4% on PCP. GMV was up 7.7% on PCP. We had an all-time record quarterly revenue consecutively in the third and fourth quarter, up 15% on PCP in the fifth fourth quarter. So you can see it's lifting. 2026, I think, will be a breakout year for us. Job postings are up, award rate was up, total jobs awarded up, delivered workloads are up. So we're starting to see that take off. The big thing that was holding back Loadshift last year was audio and video calling. The big use case difference between Freelancer and Loadshift is that the majority of the work in the heavy haulage freight business happens over the phone and not through a desktop website, for example. So we had to build out the audio and video calling capabilities. And this year, in addition to that, we'll be building out audio capabilities to interface with the app, et cetera. We're pretty excited about where this goes. Not only do we have audio and video calling now fully deployed, but we've got in real time, the conversation is being transcripted, and so we can assist with project management or trust and safety purposes. In addition to all of that, you'll be able to interact in the future with the app through voice. So you have -- if you're driving a vehicle, you don't -- you can't interact with your handset with your hands. So you'll be able to talk to your -- to Loadshift. Obviously, all the capabilities we make available for Loadshift will be available for Freelancer and vice versa. So we're pretty excited about the future of that and being able to have a fully agentic version of Loadshift in the future and where that's going to go. So yes, key innovation is obviously getting that audio and video calling app, which is an app. We also made it -- we polished it with several rounds of improvements, which allows you to use the app very nicely once you're in a call, et cetera and so forth. We're also now focusing on enhanced GPS tracking capabilities. We're pretty excited about the features and functionality there. We're going to not just have real-time tracking of all of our fleet, no matter where in the world that will be, but there's a whole bunch of features that are rolling out hand-in-hand with that around compliance, around delivery notifications, pick-up notifications, tracking of the state of any cargo to ensure that hasn't been damaged in transit. And really, it's going to be a pretty comprehensive suite of functionality over the course of this year, which I think is going to be pretty, pretty exciting. We've also got a number of enterprise -- large enterprise clients now starting to come and talk to us wanting this technology. And that ranges from companies that do equipment hire, that do auctions of automotive and storage and so forth. So we're pretty excited to see where some of those conversations go. And we're engaged with some of the largest mining companies in the country. So we've got some pretty solid client base here. So overall, at group level, we had NPAT of $2.2 million positive, which is an all-time record. There was a small loss of last year. Additionally, we had a positive cash flow of $0.5 million, operating cash flow of $7.7 million, up 33%. We had outflows of $6.9 million, primarily related to lease payments for office premises. Across offices, the costs are coming down. In fact, I think it's next weekend, we're moving into our new office in Manila. We've got some improvements. Neil Katz has done a phenomenal job. Every time we do a lease renewal of chipping down the leasing costs in pretty much every office location we've got around the world. And I will say in Sydney in 2027, we'll be moving office as well, and we'll also get a reduction in our lease costs. So that's a line item that continue to tick down. As of 31st of December, we held $22.9 million in cash and cash equivalents. It's down a bit because we did a buyback of Loadshift shares primarily. We now own 73.4% of Loadshift shares. So that's fantastic. In terms of group management, we strengthened our management team with several key appointments and promotions. Andrew Bateman was promoted to VP of Product for the group, bringing over 2 decades of technology and product leadership experience. He sits to my right. And after this call, you can in the Q&A, ask any question of Andrew, if you wish. Owen Smith is the Director of Legal Compliance and expert in regulatory affairs. He heads up our compliance team, and he's doing a great job of kind of building that out and building our capability for world's best compliance and AML. Brent O'Halloran joined us as Director of Communications. He ran the foreign news desk for Sky News. He's been a pretty serious foreign correspondent for quite a number of news organizations, and he's really lifting our communications capability across the business. Tony Yan is Director of Operations for Escrow, he is overseeing partnerships, account management, the global support team under Dean and parts of payments, and he's a scientist by background. And Trisha Epp, who runs innovation was promoted to Director of Innovation for NASA. Gerard Christopher runs our India office. And we wound down the Buenos Aires office at the end of last year on the 31st of December, which was no longer fit for function. It was supposed to be a second 24/7 premium support team for a very, very high-end account management. We've moved that to Vancouver now primarily. Instead, it was a bit hard to communicate with the time zones between Sydney and BA, as well -- they were fit for purpose. And particularly a number of the functions now we've managed to automate with AI or move to Manila as well at the back end. So instead, what we've done is we opened up an office in Bangalore, and it's a sales office and operational office that's on the front end, pointy end of working with enterprise customers. I will also say another notice went out today this morning. Neil Katz, our Chief Financial Officer, has announced his retirement. We've had a very, very good run with Neil. He's with the business for 16 years. He took us from startup to a listed entity. He was very instrumental in many parts of the business that are very, very complex on the financial side. The 55 jurisdictions we're licensed in, Neil pretty much spearheaded most of that. We took from 8 licenses in 2015 when we bought it to 55. That is a very, very, very complex thing to do. And in fact, I could not do that again from scratch if I tried. And it takes 5 to 7 years for jurisdiction to get a license. You are then audited every 2 years on average by the regulators. We've managed to go through that very smoothly, albeit it did take time because it does take time, but he did that very, very well. He went through the IPO with us. He's been through the expansion of the businesses. I don't know how long his dongle chain of bank account access tokens is, but we've got bank accounts in currencies all around the world that he controls and manages and all the treasury function and so forth, the modeling and so on. And in fact, Neil and I have obviously worked together, not just at Freelancer, but also in my prior company, where he was chief financial officer. There's been about a 20-or-so year history of this. So it's been a long track record. And I do thank Neil very much from not just the management team, but also the Board last night and the Board of Directors for his service. It's a very orderly transition. It's been well flagged for the last couple of years. We have been out there looking for -- it's a 2IC under study for some time for Neil's group. As of today, we'll be upgrading the job listing to a Chief Financial Officer search, that we are kind of well advanced in kind of succession planning and have been for many years here. Neil's notice period is 6 months. So he's going to be with us to August 2026. And he's also very graciously in the Board meeting last night, offered to potentially stay on past that and potentially in a part-time capability should the new CFO wishes and so forth. So from all the company and myself and the Board, a heartfelt thank you for Neil for his service. It's a very, very long and track record for achievement. But we're out there and we're active in the process of searching for a replacement, and we'll make notifications to the market in due course when we select the final candidate. Now I apologize again for starting half an hour late on this call. We had some technical difficulties that I'll ensure does not happen again. You may now direct questions to anyone in the room. To remind everyone of who's in the room, you obviously have myself, Matt Barrie, the Chief Executive Chairman of the business. You have Neil Katz, Chief Financial Officer; you have Andrew Bateman, who is VP of Products; August Piao from Escrow and Mas from Loadshift. We'll now open it up for questions from the audience. And if Oscar, if you could read them out if any are in the chat.
Operator: Yes. First question from Ray Johnson. Have there been any tangible outcomes from the expansion of the Board?
Robert Barrie: Ray asked, has there been any tangible outcomes from the expansion of the Board? The answer is absolutely yes. Over the course of last year, we added Craig Scroggie, who's the Chief Executive of NEXTDC and also Patrick Grove, who is the founder of many businesses from ICar Asia to iProperty Group and is Chairman of Catcha Group. Yes, they have certainly -- there's a whole spectrum of things we've done. One is we've improved how the Board functions in terms of just generally how we run meetings and how we -- what we talk about and the strategy and so forth. Patrick has been pretty [ inspiring ] in pitching a few ideas that we're currently evaluating. Craig has been very instrumental in the execution and thinking about the execution of those ideas and how we can actually go about organizationally implementing them. And I think the discussion has really lifted to the strategy and even the governance. We obviously had our Board meeting last night with the Audit Committee, meeting, et cetera, Craig's already led quite a number of questions of the orders, et cetera. So I think we've really lifted the capability of the Board to the next level. I'm very pleased to attract -- be able to attract to the business such world-class entrepreneurs. Craig, for example, is probably one of the hottest CEOs in town right now, obviously, running NEXTDC and building data centers pretty much anywhere there's a square meter of real estate in a city in Asia Pac. He's building data centers. And then Patrick, obviously, one of the greatest entrepreneurs that Australia has produced, having built marketplaces in property, in automotive and in media, he's got marketplaces in Latin America. Last night, he was in Panama with his latest business, et cetera. So no, it's been a phenomenal step up, I think, in the Board's sophistication and capability.
Operator: Next question from Katherine Thompson. Within the enterprise part of Freelancer, could you rank the contribution to revenue from the various areas, e.g., NASA, field services, GenAI in full year '25 and '23?
Robert Barrie: Yes. So we don't break them out in the financial results. They are currently fairly de minimis to be frank. We do expect a big uptick to be coming from NASA, for example, very shortly. There's been some government shutdowns that have kind of held up the deployment of capital from the NOIS3 program, but that it should start to flow. We're starting to see task orders coming in now. We are the largest company that is a winner of NOIS3. It is a joint tender, for example, but we are the largest cloud workforce capability, and that's represented in all of NASA's presentations. On the enterprise side, the focus -- we think we have a lot of work happening in terms of activity on the AI services side. We had a whole call last night with a very large major BPO that is using us actively on some small-scale stuff. The trick we have figured out is we have to build a bigger product so that we can effectively scale these workflows up to very, very large scale. The company to look at is Scale.AI. That's a company that's only a few years old that Meta bought half of, for about a $14 billion purchase. We can do everything Scale AI does and better. We have a deeper network of workers with more skills and more capabilities and greater geographic reach. And in fact, I would not be surprised if actually Scale AI. I got a bunch of freelancers from our site, to be honest, through various means. But we have to build the workflows. What -- where I think we have somewhat been misdirected with the enterprise work we've done with Freelancer is we've had pretty much every major Fortune 500 come to us looking for a contingent labor solution. They're saying, okay, what you do. We've got full-time staff in our office. We've got service providers that provide us with contractors. We've got various HR technology infrastructure that can manage those fleets of people. But what we don't have is we don't have a contingent labor capability with gig or cloud. The -- and that's the approach we have been taking is really to really react to that demand, whether it's a Deloitte or whether it's Arrow Electronics and literally all the Fortune 500 in there and try and build them like this generic contingent labor capability. Now the challenges we run into when we've discovered is even though those customers pay us, I think Deloitte paid us about USD 5 million to build their capability. It's quite complex and it's quite custom. You have to integrate with their vendor management systems. You have to integrate with their single sign-on system so that all the staff can log in and it's got the same look and feel. You've got to potentially integrate with their time tracking system, active directory, this, that, the other. And then you have to do quite a large amount of customization. While we are chipping away at the product capability to make that easier and easier and simpler and simpler to be able to deploy that for any large enterprise, really what we've come to discover is you've got to find where the deep pools of repeatable work are and really build workflows and then automate those workflows with freelancers. And I come back to my comment about Scale.AI. I think they did that very, very well and very, very efficiently in a very, very narrow niche area where they built very effective workflows, a very small number of workflows, but they did that very effectively and then they managed to rip through there with huge volumes of work. And that's really the focus we're taking now moving forward with enterprise with Freelancer is we really -- we know the pieces we need to build. We've put together a whole product plan. In fact, there's probably 8 iterations of that product plan in terms of that capability. We've got quite a number of partners that potentially might be interested in building that capability with us and financing that capability. We know what needs to be done. We're building some of the building blocks. And I'm pretty confident when we get up and running, we have a workforce that ultimately is more capable and deeper and more sophisticated and more skilled to be able to rip through that work better than anyone out there that has done it before. So there are some examples of people who have done this with workflows. They've got very big businesses quickly because it becomes very pump work through. We know what to do, and we're going to do it. At the moment, the contribution is fairly small. And -- but we are learning a lot. We're bidding on some big stuff for field services right now. There's a big satellite installation DISH capability we're bidding on. We've got another partner that we started up with field services laptop repairs. I think over -- and we've got some big things happening in field sales. I've got some big expectations, for example, with the India office and kind of what they're doing. Contribution right now is fairly small. We have learned a lot with enterprise, trying a lot of different things. No one has really figured it out globally out there. But -- and I think we have the inherent innate advantage with the largest cloud workforce in the world to be able to do it very, very well. No one's done it yet. We're working towards it. There's a $1 trillion problem to solve both at the consumer level and the enterprise level, and we're chipping away at it, but not big. With Escrow, I have said this repeatedly before, and I can feel it getting closer and closer. One of the customers we're going to onboard or partners want to onboard will do the entirety of Escrow GMV times by some multiple. There's some very, very, very big volumes that are out there in the global payment space at the high end. We had to build our capability to be able to service that. We -- for example, we have a Shopify solution to go into the Shopify ecosystem. And I do get asked by investors, well, why isn't that fully guns blazing just yet and turned on. I have purposely slowed that down because we need to make sure that the support, the compliance, the back-end systems, the payment processing, everything is as slick as possible so that we can really scale and do so reliably. So we now have 24/7 support. We now have done a complete review of all our AML controls and are in the process of automating quite a number of them. We have done a couple of team restructures in terms of making sure we've got the best structure for servicing high volumes. And we're just getting our ducks in a row. So while that business is ticking up fairly well, I do think we're going to have some really blowout years soon with Escrow, but we need to get just all our ducks in a row in terms of the capabilities and processes of the systems to be able to cater for that. But we're getting there, and it's getting closer and closer. And with Loadshift, the good thing about Loadshift is, I mean, that -- the frame industry that we focus on is extremely chunky. It's high-value loads. It's the big end of town, and we are starting to see some pretty good enterprise interest coming in. We've got a couple of proposals out for a multimillion dollar integrations that would lead to pretty significant volumes. They are relatively early days in terms of progressing, but we are now at the point where we are focusing more on enterprise in our sales process, and we are out there actively pitching proposals. We've built an enterprise dashboard, for example, which is being very well received. And I do think that very soon, we're going to have a pretty robust enterprise capability. So I know it's been a long time coming across these businesses, and I will be very open and honest about that. We have learned a lot from dealing with enterprises. We know what works. We know what doesn't work. We kind of know how to think about now structuring and building the product and the operational teams and support to be able to service these organizations. And I do think that we are chipping away the problem across all 3 businesses. Thank you for your question.
Operator: Katherine asks again, in the Loadshift business, are you able to say which country you would like to enter next? And how high do you think you could get the award?
Robert Barrie: Next country will be Canada. It will be Canada because it's very similar to the freight we do in Australia. We're well advanced in our planning for that, and we also have an office in Canada able to service that region. But the next location will be Canada.
Operator: And how high do you think you could get the award for?
Robert Barrie: For Loadshift?
Operator: Yes.
Robert Barrie: Yes. So I literally had a conversation about this morning. Mas is smiling. I literally went to his desk and discussed it with him. Look, I personally think -- so when you have a marketplace of whether it's Freelancer or Loadshift and to an extent when you have an account managed transaction on the Escrow, if you leave transactions alone and self-serve, and obviously, you can chip away at this over time with better product and features and so forth, particularly with AI, you can do a lot. Transactions will close will match at a certain percentage, right? And across the labor space, and you look at any of the marketplaces that are out there, so I'm just talking about -- and I've looked about 200 or so financials of marketplaces because we bought about 35 businesses over the life of this company. So I've looked at a lot of these things. The labor matching in these marketplaces match around plus or minus, they're at 30%, right? So all the jobs being posted about 30% get matched and paid and so forth. If you put a human in there and that human chaperones the transaction, so it gets on the phone and talks to the client and talks to the freelancer and you do it a market making or you kind of do it of recruiting, et cetera. And you can bump that number by plus 20% pretty much across the board. With the peak performing human doing the matchmaking and the market making and so forth, you can get up to about 65% or so in terms of the conversion on the award rate. You can burst a little bit, maybe a little bit above that, but that's kind of the peak. Above that, you have clients that just lose interest. You have -- which makes up the other 35%. You've got people posting jobs for time machines, wanting to get things done for $0.99, completely unrealistic or nonfirm, just trying get an idea or maybe in the shower, they want to be an entrepreneur one day and they put the job and the next day, they kind of get busy or whatever it may be. And so that gives you a feeling for adding a human. The same is in Escrow. When you put an account manager in an Escrow transaction, they lift it by a 20% absolute the conversion rate of a transaction closing because there's handholding. And you got to remember, Escrow plays with complex high value end of deals -- so some of these deals, there's a lot of complex negotiations [ breaking ship ]. There might be multiple sellers, multiple brokers involved in the transactions, et cetera, and so forth. But you can usually bump by plus 20% if you put a human in there. On Loadshift, I think we're doing somewhere between 27% and 31%, I think, award rate at the moment. The primary thing holding back Loadshift award rate has been the fact that most of the transactions happen by audio that happen over the phone. And so we still, to this day, still hand out all the phone numbers to the drivers because historically, when we bought the Loadshift bulletin board business, it was the bulletin board you pay $69 a month and you kind of, if someone posted a job, you saw the phone number. So that business, traditionally, that's how it operated. We managed to transform that successfully into a marketplace model, have the payments flow through us. We cleaned up the trust and safety in the marketplace. There are a lot of cowboy operators, et cetera, people that are not licensed properly, not insured properly. We cleaned all of that up. We now have feedback. We have reviews. We have a whole compliance function that we provide as a layer on top. We provided more enhanced functionality, et cetera, and so forth. But we still hand out the phone numbers. With the in-app calling, which is live, you can do audio video calling, et cetera. It currently does not bridge to the PSTN or the packet switch telephone network. So it's -- if you've got the app installed on both sides or if you're on the desktop experience and you've got the app on side, we now connect. And very shortly, we've literally got in testing, we'll be connecting to the phone network. So it will be like an Uber where the driver can call you on your phone number rather than on the app. Once we have that, we think we will be a big leg up in the award rate just simply because we've just been easy, easy as it goes in terms of transforming the business model from a model primarily to a marketplace model. I personally think that the award rate on Loadshift should be higher than on Freelancer simply because if you've got an excavator and you're posting a load to move it from Kalgoorlie to [ Whoopu ] you have the excavator or you are looking at a price check because you want to buy it. They're basically the 2 scenarios. I personally believe that the ultimate peak award rate of Loadshift should be around 85%. So I think there's a significant way to go in terms of where we can lift that, but it should be significantly north of where it is now. We've been just very gentle. We obviously took it from 0% to somewhere between 27% and 31% now. The next leg up will happen with the PSTN calling because we've obviously got to control the marketplace a little bit better, and we've got to clamp down off siding and so forth, which we've really started to do on the Freelancer side recently and -- through the audio and so forth that we've deployed. So I think we've got a big leg up there just even on existing volumes we have right now, there's significant potential for very, very large revenue growth just on the volumes we have through looking at award rate. So it is actually a great question. There is a debate kind of how high we think we can get it to. But I think that -- if you're posting a load and you want to move something, the thing that you're posting load for exists and you either own it or you're about to own it or you do a price check on it. And as opposed to on Freelancer, somebody will wake up in the morning and they want to be an entrepreneur and they post a job and then realize how hard it is to actually start a business and they kind of flake out. So I personally think the award rate on Loadshift should be higher than Freelancer in the countries. Thanks for your question. Any other questions from the audience? Apologies again for starting a bit late. I'll ensure that next time we do this, it doesn't happen. But we do have an old Cisco machine here in the conference room and sometimes it's got a mind of its own, whether the cameras are working, et cetera and so forth. But we will endeavor to ensure that, that starts on time at 9:00 next time. I'll leave it open for another 30 seconds if someone has asked a question. Normally, there's a few people who are a bit shy who've got their microphone on mute that take a little bit of time to get one in. But otherwise, if there is nothing coming in, I will shut the call down. As always, you may direct questions to myself or any of the management team at any time. If you send an e-mail to matt@freelance.com, matt@freelance.com or investor@freelance.com, we'll be happy to arrange a one-on-one with any of the team. Okay. There is another question that just came in on?
Operator: Yes. From [ Doug ].
Robert Barrie: Doug you are on audio. You are on mute.
Unknown Analyst: I just want to know how each of the divisions have done year-to-date.
Robert Barrie: Okay. You are off mute but I can't hear you. Maybe if you want to type your question.
Operator: He did ask it in the chat as well.
Robert Barrie: He did.
Operator: How has each division performed in Jan and February compared to last year?
Robert Barrie: Yes. So we've had a -- I don't want to preempt a little bit. I think Escrow and Loadshift have been the standouts in Jan and Freelancer is lagging a little bit, and that's traditionally, I think, what we've been kind of really focusing on, and that's continued into 2026. I do think however, pretty soon, we should have a good uplift in the Freelancer numbers. We've got some very, very enhanced functionality on, I think what I think is the core thing to focus on right now to maximize the lift in revenue, which is that bidding matching experience. And I know that we've had conversations before about that, Doug. I'll be happy to go through in a one-on-one the sorts of things we're doing there. But there's a massive focus on us to really bridge that uncanny valley where it's very easy to post a job on Freelancer. It's very easy to get the bids in. And there's a moment where you kind of get all these bids in and you kind of a bit confused about who's actually good, who can actually do my work, who's using an auto bidder, who's using ChatGPT to write their bids. And we've got some -- a whole suite of measures coming in to kind of bridge that gap because once you kind of get through that and you find a great freelancer, the work is done efficiently, it gets done cheaply. It's mind-blowing and very addictive. And we see that sort of in the long-term retention curves. Once you kind of cross that valley, you kind of stick, but we've got to cross that valley. And that valley, the chasm has been widening a little bit over the last few years through automation, right? So what's been happening over the last few years is there's been auto bidding software. You've got people generating ChatGPT generated bids using that auto bidding software. Sometimes those bids misrepresent the skills and experience of the freelancer and create a negative effect. Firstly, sometimes the bids come in too quickly and you don't think they actually wrote their brief. Secondly, you kind of go, well, these bids are too good to be true and then you browse their profiles and you realize they're not. So we know how to solve that problem. I think at least make major inroads into that problem. We literally have 7 things we have going up in the next 2 weeks, something like that, both on -- give you an idea, we are going to annotate the bids on what we think the bids should say, so give you a high signal to noise ratio there. We've got a classifier looking for the people who are misrepresenting their skills and we're penalizing them. We have LLM search. We have a prefiltering step where we're separating the people we think are likely to be able to do the job from the people who are not likely, and we're surfacing relevant reviews for items, et cetera, and so forth very, very quickly. And all the testing we've done, it's a huge step forward and it should test very, very, very positive. And then on top of that, we've got some stuff that we wanted to get out last year, and we struggled to get through the AB testing through, I think, 4 different attempts, but really smoothing out the whole sign-up experience, e-mail verification, phone verification, what have you. Down funnel, it tested very positive, plus 10% on the financial metrics up funnel, it was causing some issues. We split it into 2, and we should be able to chaperone that out in the next quarter. So we could see a big lift there. But it's basically in terms of the ranking is sort of Escrow, Loadshift, Freelancer in terms of performance this year, same as last year. Any other questions?
Operator: Doug says, Thanks, Matt. You've preempted my other questions already.
Robert Barrie: No problem. Okay. Well, thank you, everyone. As I said before, happy to arrange one-on-ones, please send it into either matt@freelance.com or investor@freelance.com and we'll arrange for either with myself or anyone with the management team, and you're welcome at any time to come talk to us physically or online. So thank you for your time, and apologies again for the late start today.